Operator: Good day and welcome to the Signet Jewelers’ First Quarter Results 2012 Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Tim Jackson. Please go ahead, sir.
Tim Jackson: Good morning and welcome. Thank you, Operator. Welcome to the conference call for Signet’s first quarter fiscal 2013 results. This is Tim Jackson, Investor Relations Director talking. With me are Mike Barnes, CEO and Ron Ristau, CFO. The presentation deck we will be talking to is available from the webcast section of the Company’s website, www.signetjewelers.com. I will now give the Safe Harbor statement. During today’s presentation, we will in places discuss Signet’s business outlook and make certain forward-looking statements. Any statements that are not historical facts are subject to a number of risks and uncertainties and actual results may differ materially. We urge you to read the risk factors cautionary language and other disclosure in the annual report on Form 10-K that was filed with the SEC on March 22, 2012. We also draw your attention to this slide. I will now hand over to Mike.
Michael Barnes: Thanks Tim, and good morning to everyone. We delivered strong financial results in the first quarter, and increased our earnings per share by 10.3% to $0.96. We anticipated the impact of the calendar shift as discussed on our last call and managed our business including expenses accordingly, leading to this double-digit earnings increase. I’d like to thank all at Signet who contributed third-party these record results. In the second quarter to-date, which benefited from the calendar shift our same-store sales including Mother’s Day, were up strong double-digits reflecting the customers broad acceptance of our merchandised offerings, our great customer experience and the effectiveness of our advertising, all of which we consider to be core competitive strengths. I will speak more specifically about Mother’s Day in a moment. Our results year-to-date and our consistent ability to execute our initiatives, leave us well positioned to meet the challenges of the current economic environment and achieve our objectives for this year. Same-store sales were up 1.2%. The impact of the calendar shift reduced first quarter sales by an estimated $32 million or by about 370 basis points. In the U.S. we delivered same-store sales of 1.2%, after an increase of 12.5% last year with the promotional shift having an estimated 440 basis point impact. In the U.K. we’re pleased to again report a positive comp and again it was 1.2%, and what remains a challenging environment. This reflected as expected, a significant improvement from the February performance, which we discussed in our last call. Income before income taxes was $128.5 million or an increase of 9.1%. Now let’s look at the U.S. performance in a little bit more detail. U.S. total sales were $751.5 million, up $13.5 million, an increase of 1.8%. Kay same-store sales increased by 2.9%. During February which includes the important Valentine’s Day period, same-store sales were up 8.4% with April being adversely impacted by the calendar shift. Jared comps were 0.2%. Jared also had a similar trading pattern with February comps up 8.1% and April adversely impacted by the calendar shift. Overall, U.S. same-store sales increased 1.2% in the first quarter. As we moved into the second quarter, including the Mother’s Day trading period, we’ve seen strong double-digit comps. A very strong all round performance for this major gift giving period for our U.S. division. Our operating income was a $137.7 million, up $11.5 million or 9.1%, reflecting the tight management of expenses in anticipation of this calendar shift. And the operating margin increased by 120 basis points to 18.3%, a record level for the first quarter. Now let’s turn to Mother’s Day because as we know its all about Mom. We had a very strong Mother’s Day in the U.S. with May month-to-date sales of approximately 21% following a 16% increase last year. Adjusted for the Mother’s Day related timing shifts, same-store sales were up approximately 9% following a 14% increase last year. We are very pleased with this performance month-to-date encompassing this very important holiday period. Now turning to the U.K. The total sales were $148.5 million, a constant exchange rate that were up 1.4%. Same-store sales were up 1.2% with H.Samuel leading the way. The same-store sales performance continued to be ahead of nonfood retailers in the U.K. as reported by the British Retail Consortium. The growth was driven by new product initiatives, particularly in H.Samuel, the strong performance from store investments made last year and our success in competing in a promotional environment. There was an operating loss of $3 million, down $2.8 million which was inline with our plan. The performance was primarily due to a lower gross merchandise margin. We are focused in the U.K. on initiatives, such as testing new merchandise, staff training, and planning for Christmas. With the objective of driving costs in this key holiday season, while identifying further opportunities to control cost. We expect sales in the U.K. to continue to outpace the broader retail market, that currently believe that operating income will be under pressure primarily due to the promotional environment. Just as a remainder, in the U.K. Mother’s Day was in March. The drivers of our performance are our sustainable competitive strengths. In particular, broad customer acceptance of our merchandised offerings, our great customer experience and our investment in marketing. Brand is differentiated and exclusive merchandise continues to perform well and Neil Lane Bridal, Le Vian, Tolkowsky and Charmed Memories have all been particularly strong. The customer experience remained central to our success and we remained focused on training and development of our store teams, including the best use of in-store sales enhancing technology that is currently being rolled out. Our marketing investment for Valentine’s Day and Mother’s Day again proved very effective with increased impressions helping to drive strong sales performances and building the value of the brand equity, both our store concepts and our merchandised collections. Also ecommerce performance strongly again with sales up $4.8 million to $22.1 million, an increase of 27.7%. We continue to focus on our strategic imperatives to drive growth in fiscal 2013 and beyond. To manage the business appropriately including tight expense control, while continuing to implement initiatives that drives long-term shareholder value. The recruitment, training, development, motivation, and retention of our team members is key to sustaining our ability to deliver an outstanding retail experience for our customers. The customer acceptance of our merchandising initiatives remained very positive and we’re always looking for opportunities to grow both new and existing brands and categories to delight both existing and new customers. Our ability to further enhance our competitive strengths through investment in our people and infrastructure to enable growth in sales and operating margins helps us stand out from our many competitors. A great example of this is our commitment becoming world class in the digital environment. We remained committed to increasing our share of the jewelry market and maximizing sustainable profit levels. I’d also like to point out in this quarter, on a – of a particular note, the progress we made in optimizing our capital structure, through the execution of the share buyback program, which we began in mid January. We completed 90.7 million of purchases this quarter, bringing the total repurchase to $103.4 million through the end of the last quarter. At that time, $196.6 million remained available for future purchases under the program. I’m pleased with the execution of the plan to-date and we continue to maintain a very strong balance sheet as well. Now I will hand the call over to Ron to go through the numbers in a little bit more detail. Ron?
Ronald Ristau: Thanks, Mike. Total sales for Signet increased 1.4% to $900 million compared to $887.3 million last year. Our total company comp store sales increased1.2% versus an increase of 10.2% in the prior-year. In the U.S., total sales increased by 1.8% to $751.5 million, reflecting comp store sales of 1.2% and a positive contribution from changes in space. I again point out that the promotional shift adversely U.S. sales by an estimated $32 million in the quarter. In the U.K. total sales decreased by 0.5% to $148.5 million, reflecting a comp store sales increase of 1.2%, a small benefit from changes in space and the unfavorable impact of currency fluctuations in the quarter. Income before taxes increased by 10.7 million to 128.5 million, representing 14.3% of the sales versus 13.3% last year. The major factors driving this 100 basis point increase was as follows. Gross margin was $353.7 million, an increase of $4 million. The gross margin rate was 39.3%, down 10 basis points. Gross margin in the U.S. was up by $0.8 million on last year, driven by favorable gross merchandising margin improvement of 40 basis points. Leverage on store occupancy expenses an increased income from credit related fees. This was offset by an unfavorable impact of $4.7 million on U.S. net bad debt charges. This charge was due to a change in a number of credit billing cycles included in the quarter, a change made for purposes of internal efficiency. This expense is expected to be offset by a broadly similar benefit in other operating income in the fourth quarter of fiscal 2013, with little overall impact expenses expected on fiscal 2013 results. The U.S. net bad debt to sales ratio excluding this charge, was 1.8% compared to 1.6% in the first quarter last year. This small difference is attributable to the increased participation rate on credit sales leading to growth in the overall receivables portfolio. Gross margin in the U.K. was lower than last year by $1.8 million, primarily as a result of the decline in gross merchandised margin of 170 basis points, attributed to the unfavorable exchange rate impact and primarily the level of promotions in the market. This was partially offset by favorability in store occupancy and store operating expenses. Selling, general and administrative expense was 264.5 million, down $0.7 million and as a percentage of sales, it was 29.4%, 30 basis points favorable. This reflect a tight control of expenses and is primarily attributed to lower store staff costs. Our other operating income was $40.2 million, up $7.4 million on last year, reflecting the higher level of accounts receivable. This had an 80 basis point favorable impact on the operating margin. As a result our operating income was $129.4 million, an improvement of $10.7 million or 9% and our operating margin was 14.4%, up from 13.4% or by a 100 basis points as I indicated. Our net interest expense was unchanged at $0.9 million and our income before tax is a $128.5 million, again an increase of $10.7 million and as a percentage of sales that was 14.3%. Our tax rate in the quarter was 35.8%, resulting in net income of $82.5 million and diluted earnings per share of $0.96, which is up 10.3%.The weighted average fully diluted number of shares for the quarter was $86.3 million. We ended the quarter with cash of $399 million and maintain a very – continued to maintain a very strong balance sheet. In the first quarter of fiscal 2013, net cash provided by operating activities was $34 million compared to a $105.3 million last year. The difference between the two quarters primarily reflects favorable net income, depreciation, and declines in accounts receivable balance compared to year-end offset by increases in payments for inventory expenditures and income taxes in the quarter. Our total net accounts receivable at the end of the first quarter was $1,025.1 million, up by 13.4% from $904.3 million a year-ago, primarily reflecting the higher rate of in-house customer financing and the prior-year billed. Credit participation showed an increase to 55.8% of U.S. sales in the first quarter, up from 53.8% in the comparable quarter last year. Our average monthly collection ratio was similar to last year at 13.8%, compared to 13.9% in the comparable quarter. Our net inventories at April 28, were $1,335 million, up by 9.3% from $1,221.1 million a year-ago. The increased inventory levels reflected the U.S. promotional calendar shift related to Mother’s Day approximately $20 million and the impact of the higher diamond and gold prices, partially offset by our actions to improve inventory turn. Our capital spending in the quarter totaled $18.6 million, up from $12.9 million as we increased our store and IT investment as previously described. In the quarter net cash used in financing activities primarily included dividends of $8.7 million and the repurchase of approximately 1.9 million shares at a cost of $90.7 million. I would now like to address the outlook for the second quarter. We are providing guidance for the second quarter due to the complexity of the calendar shift. Same-store sales for the second quarter are expected to be in the mid to high single-digit range and fully diluted earnings per share are expected to range from $0.78 to $0.84 based upon an estimated $84 million weighted average shares outstanding. In this guidance there are three issues to concern. One, we anticipate approximately $0.06 decline in U.K. earnings versus last year as a result of the pressure on gross margin due to the competitive environment. Second, approximately $10 million in advertising shifts move into the second quarter related to Mother’s Day. This of course is offset by sales, but the SG&A ratios in the second quarter will adjust slightly due to this fact. Third, in the second quarter of last year we had an effective tax rate of 33.6%, which reflected the favorable recognition of $1.9 million in previously unrecognized tax benefits or about $0.02 a share. We anticipate the tax rate in the second quarter this year will be 35.8%. Importantly, with our results here to-date combined with our focus on competitive strengths and the ability to execute our initiatives, we believe leave us well positioned to achieve our financial objectives for the year. I’ll now hand this back to Mike for some closing comments.
Michael Barnes: Thanks, Ron. We’ll now be pleased to take any questions that you might have for us at this time.
Operator: Thank you. (Operator Instructions) We’ll now take our first question from Bill Armstrong from C.L. King & Associates. Please go ahead.
Bill Armstrong - C.L. King & Associates: Good morning, Mike and Ron.
Michael Barnes: Good morning.
Bill Armstrong - C.L. King & Associates: Good morning. It looks like the – excuse me, the decline in the U.K, $0.06, I think it seems little surprisingly large; maybe could you flush out a little bit more, the pressures on the gross margin and what’s driving that?
Ronald Ristau: Yeah. As you know, the U.K. environment has been very challenging as we’ve indicated on our calls in the past, but what we’ve seen in the first quarter was that we did produce a positive comp in the U.K. because we’ve made the decision to protect market share and try to increase our market share there, but we’re finding that it is a increasingly promotional environment and that customers are self-selecting the more promotionally-orientated merchandise in the market. So, we expect this trend to continue, whereby, we believe we’ll continue to outpace the broader economic industries in the U.K. as measured by the brand. However, we do think that the markets will be under some pressure and we believe that this is the right strategy as we prepare ourselves for holiday as Mike indicated in his comments. So there will be some slight losses that we’ll incur in the second quarter, and that’s why we’re calling it out.
Michael Barnes: When we do – I’ll just add to that, just to add on to what Ron said, the U.K. tends to be a fourth quarter story for the most part holiday. It’s so important. We feel like we’re positioning ourselves exactly as we need to be as competitive as possible in that marketplace and that we do have the opportunity to gain further market share in the future. We continue to invest strongly into new merchandize programs. We’ve invested, as you well know into stores and remodeling stores etcetera. So we’re encouraged with the direction that we’re going in that market. And we feel good about the long-term future there.
Bill Armstrong - C.L. King & Associates: Is there a change in the competitive environment there, any new competitors coming in or is this just really kind of a function of the difficult overall economic conditions in the U.K?
Michael Barnes: You hit it on the second part there. It’s really a function of the overall macro environment there. We continue to make the same moves as we need to in the U.K. in terms of pricing just like we do in the U.S, but because of the competitive and the promotional environment, and Ron said it best, the customer really is self-selecting the more promotional merchandize and that’s driving the mix. And it’s an impact on our gross merchandize margins to some degree. But again, I feel like that we’re well positioned for the future and that we’re moving in the right direction.
Bill Armstrong - C.L. King & Associates: Okay. One other question, on a different topic and that’s, I was wondering if you could maybe just explain a little bit more about this change in the number of credit billing cycles and maybe help us understand how that works and how that would have affected obviously the Q1 and then, how that’s kind of reverse in Q4? [What are] the mechanic of that?
Ronald Ristau: Yeah. This is really a change in our internal operations relative to credit, and what we wanted to do was to really unify our quarterly credit loss and just some -- the way we process internally, I mean it drives some of the way that we recognize our bad debt expense and other operating income. So what happened is we’ve essentially cut the number of cycles in the – the number of cycles in the first quarter, couple of more cycles in the fourth quarter, I mean just will change the flow between the quarters this year. No net impact to the year, we took a hit of about $4.7 million in the first quarter of this year in the bad debt expense, and we’ll recognize in offsetting favorable situation in our other operating income in the fourth quarter. So, in the year it means nothing, but it just helps us internally to have some efficiencies that we’re always driving to gain in our own internal operations.
Bill Armstrong - C.L. King & Associates: So then the future, should we then see similar seasonality, seasonal pattern that we’re now seeing this year?
Ronald Ristau: Yeah, this pattern will permanently adjust and you should never have to realize any kind of a difference again.
Bill Armstrong - C.L. King & Associates: Got it. Okay. Thanks. Right, okay. Thanks.
Operator: Now, we’ll take the question from David Wu from Telsey Advisory Group. Please go ahead.
David Wu - Telsey Advisory Group: Thanks. Hi, good morning everyone. First, your second quarter guidance …
Michael Barnes: Hi, Dave.
David Wu - Telsey Advisory Group: … hi, your second quarter guidance does assume a bit of a comp deceleration through the remainder of the quarter just from the high double-digit growth that you saw during Mother’s Day, I was wondering you’re just being conservative here or are you seeing something out there that is sort of making you more cautious?
Michael Barnes: Well, I mean if you look at the month-to-date in the first three weeks as we pointed out, it was very strong double-digit comps obviously. We tried to put it in as we can, when we give our guidance and we felt like mid to high single-digits was an appropriated guidance to give. It’s very interesting, David, because this first two quarters just have so many moving parts between it. And God knows, I wish that Mother’s Day and other events would start shifting around and I think that’s planned very well to the retail business when they thought about all these holidays thousands of years ago. But the point is there is just a lot of moving parts in the first couple of quarters. We’re through the shift now and we feel pretty good about where we are at. We’re pretty much guided and said that on the first half of the year also that we expected to see somewhere in the mid single-digit comp range and that’s kind of where we’re still at, and with the second, the first quarter being lower single-digits as we guided to and the second quarter being mid to high single-digits. And we think it’s a very strong performance especially in light of the performance that we’re lapping over the last year and even maybe more important than the – even the comp number is the quality of those comps. You look at setting record earnings in the first quarter and we still have a very strong year in front of us. We think that we’re well positioned to hit our financial objectives and other objectives for the full-year as we move forward through the back-half. So we’re excited about where we’re at right now.
David Wu - Telsey Advisory Group: Great. And on credit sales, you mentioned credit participation was up versus last year and I was wondering if approval rates are still relatively consistent from the prior quarters?
Michael Barnes: Still relatively consistent, David, but ...
David Wu - Telsey Advisory Group: Okay.
Michael Barnes: … they are actually down about a 100 basis points. So I’d consider it relatively significant, but they’re not up or down.
David Wu - Telsey Advisory Group: Got it. And then also, I understand bad debt expense increased about 20 bps even when you exclude the credit cycle impact and I know it’s a relatively small impact, I was wondering if you’re seeing sort of any signs of softness at all and so as the credit health of your customers?
Ronald Ristau: No, I think that’s a very excellent question. We’re very pleased with the performance of the credit portfolio. We’re seeing no indication whatsoever of any problems or roll rates or anything else of that nature, everything continues to be attracting very, very strongly. What we’ve here is a slight impact of 20 bps. Again, with a 13% increase in the receivables starting up for – the level of bad debt will go up and sales only increasing by 1%. So it produces a slight distortion in the quarter in the rate, but no – the underlying performance of the portfolio remains very strong and very well managed.
David Wu - Telsey Advisory Group: Great. And just lastly on price increases, I was wondering if you could just kind of share with us your strategy for the year if you raise prices at all in the quarter and if you think price increases could be an effective way to sort of deal with the tough comparisons that you’ve ahead?
Ronald Ristau: Well, we’ve increased prices in accordance with our normal strategies during the first quarter in both the U.S. and in the U.K. And it’s kind of a mixed bag. In the U.K. we’ve taken our normal price increases, but we’re seeing a more promotional environment. So therefore it seems counter productive to take further price increases to offset the margin issues that we’re having here. But that’s really not what it will work in that market, we don’t believe, what we need to be doing there is positioning ourselves for comp growth and greater market share participation in the U.K. right now. In the U.S, we did realize of course a 40 bps improvement in our gross merchandize margin in the first quarter. So it was helpful pricing, most helpful. And we feel that we’re well positioned while continuing to maintain great values for our customers in the U.S. So we’d not look to take further substantial price increases and that’s something unforeseen happened, but I’d say right now we’re on our normal pattern.
David Wu - Telsey Advisory Group: Excellent. Thank you very much.
Operator: Our next question comes from Jennifer Davis from Lazard Capital Markets. Please go ahead.
Jennifer Davis - Lazard Capital Markets: Hi, guys. Good morning. I’m trying to get my arms around guidance, it’s based on 84 million shares, comps, mid to high single-digit, so I’d assume you would get some decent leverage on that and you took price increases in the first quarter. So, I’d expect some higher gross margins in the U.S. I understand the U.K. is weaker, but it looks like the low-end of your guidance assumes some margin contraction and given the U.S. is 80% and the U.K. is 20%, I’m just kind of trying to understand that a little?
Ronald Ristau: There is a little bit of an impact in the second quarter with the tremendous shift of the all of the Mother’s Day, all of our Mother’s Day promotional events into the second quarter. That does have from a mix perspective, a slightly unfavorable impact on your margin as Mother’s Day tends to be always little bit lower dollar value sales. So, Mother’s Day, the Mother’s Day program in its totality covers a slightly lower margin than other times of the year. When we concentrate that all in the second quarter, as supposed to having a split between the first and second quarter as we normally do, it doesn’t have that much effect, but it’s having a slight effect in the second quarter due to the concentration of those sales. So, that’s something from a modeling perspective that’s kind of complex for people to pick up. The second thing I’d point out is that while they’re of course covered by the incremental sales that happen, we’re going to see – because moving along with Mother’s Day, some of our advertising support shifted from – shifted into the second quarter if you’ll. So there will be a slight impact on the SG&A ratios as I called out when I was monitoring some of the things that are causing some of the differences because we understand it’s a little difficult for people to understand. So I’ll go back and point out the $0.02 impacts last year, and again, we made a profit in the U.K. last year in the second quarter, which we do expect to reverse into a loss this year, which is going to cost us about $0.06. So, I doubt that most models anticipated that, that’s why we’re calling it out.
Jennifer Davis - Lazard Capital Markets: Okay.
Ronald Ristau: So, hopefully we will see how things work out, we’re not usually in the guidance business and we try to be prudent with our guidance also as we’ve to release these numbers.
Jennifer Davis - Lazard Capital Markets: Okay. A quick clarification, that $0.06 decline in the U.K, that’s only the $0.06 based in the U.K. right? So it’s 20% of $0.06, right? Or is $0.06 [the cut off]?
Ronald Ristau: No. $0.06 is the difference …
Jennifer Davis - Lazard Capital Markets: In the U.K. or in the total?
Ronald Ristau: … the difference versus last second quarter. It’s the effect -- it’s the effect on the total.
Jennifer Davis - Lazard Capital Markets: Okay, great. And then …
Ronald Ristau: It is the effect on the total.
Jennifer Davis - Lazard Capital Markets: Got you, got you. Thank you. And then my next question is on other operating income, we saw a pretty big increase there, is that because of the added number of cycles, did that impact other operating income this quarter?
Ronald Ristau: No, it did not impact other operating income. Other operating income is realizing a benefit from the more on the size of the receivable portfolio as being the primary driver of that. And then we’re also seeing some slight mix differences in the types of programs people are selecting, which is causing us to gain some additional income. So that’s a trend that we expect to continue in the year, but we’d realize some higher other operating income as we move through the entire year, which is a good benefit to the business and driven by what we believe will be a higher receivable balance.
Jennifer Davis - Lazard Capital Markets: Okay. In the fourth quarter, your receivable balance was higher than it was in the first quarter, and your other operating income was not up?
Ronald Ristau: I’d more think about it relative to – the fourth quarter and the first quarter are little bit disconnected if you’ll in the short. The first quarter is go-forward, which is …
Jennifer Davis - Lazard Capital Markets: Okay.
Ronald Ristau: … you should think about the go-forward.
Jennifer Davis - Lazard Capital Markets: Okay, great. Thanks. And I’m sorry, last one, can you talk a little bit about maybe how many new customers you acquire this quarter, do you’ve that information, maybe you’ve like how many customers or new customers you got through your credit card or something and how that compares to prior levels because obviously the question that I’ve gotten a lot this morning already is if you’re losing share to sales, so is there any …
Ronald Ristau: First of all, look at the relative size of the businesses, we’re not losing anything to sales and take a look at the result of the Mother’s Day results versus what was released yesterday and I think we can decide whether or not we’re losing any share to sales in the macro environment. We don’t specifically give those numbers, but I’ll tell you that most of our customers all the time are new customers because again jewelry is relatively infrequent purchase and we’re constantly drawing new customers into our base in order to make our numbers. So that’s about far as we can go as far as giving information.
Michael Barnes: The other thing I’d draw in there, Jen, for just kind of reemphasize what Ron is talking about, again, I’d say there were so many moving parts between these quarters, and the promotions that we run may not be comparable to the promotions that other competitors run that we’re up against in the marketplace. It’s hard to do that when you’ve all these different things moving around. And the level of promotion, the level of customer interaction etcetera is making difference making various competitors out there of ours. But again, Ron pointed out, take a look, we feel very strong about the great results that we saw month-to-date through Mother’s Day, which were very impressive comp sale numbers for us I believe …
Jennifer Davis - Lazard Capital Markets: It was up 21%, right?
Michael Barnes: Yeah, 21% and even if you adjust for the shift, it was still up 9% ...
Jennifer Davis - Lazard Capital Markets: Right.
Michael Barnes: … on double-digits last year. So, you might want to compare those numbers out to what the other competitors out there are doing. The other thing I’d like to really say to that is we’re very excited about all of the merchandising activities and the new merchandise that we’re driving out there. Now, as we mentioned on the last call, we’ve a lot of multiple merchandise programs in test right now. And quite frankly, I’m very pleased to say that several of these tests have had very good results and we’re going to begin rolling those out a lot more during the second quarter more than doubling the number of doors they’re in, and by the end of the second quarter there will be hundreds of doors, several hundred doors. I really don’t want to go into more detail about what those programs are until we begin that role because I’d like to keep the details quiet for competitive reasons, but I’d love to take that further a little bit later on. That’s a couple of programs. We’ve several other ones that are in earlier stages of testing that are also so far doing very well. Now, its early days on those, and we’ll stay tune, we’ll see what happens and we’ll update you on that as well. And finally, I’d just say there are some existing things going out there that we think are going to really help us out especially in the back-half of the year with existing programs. Our Tolkowsky Ideal Cut Solitaire program, that’s a really good example, rolled into the final – well, it’s going to be rolled this quarter into the final 194 Kay doors, that’s going to make an all-door program. It’s done very well for us and we’re very excited about it. And then finally, Jane Seymour, one of our premier exclusive brands, we’re working on some very exciting innovations for that brand, it’s been around for a few years now that’s going further expand the success that we’ve seen there. We’ve got great new designs going into that. We’ve -- we’re extending the Open Hearts to a new collection called the Family Collection and it’s really I think going to be a fabulous program. We’re actually going to expand that by another 250 doors as soon as possible. So, there is a lot of exciting things going on out there. We think our comp store sales are – we know that they’re inline with the guidance that we’ve given and we think that they’re very encouraging for the rest of the year. And with all the stuff going on, we really think like we’re well positioned to hit all of our objectives for the full-year.
Jennifer Davis - Lazard Capital Markets: All right, great. Thanks and best of luck.
Ronald Ristau: One last point I’d make on that, Jennifer, just to follow-up one last time is that, if you recall when we had our original year-end conference call, we estimated that the calendar shift will be worth about $25 million based on what happened in the previous year and the actual numbers I just pointed out you again turn out to be more like $32 million than $25 million when we actually, when the dust settled and did the calculation. So that calendar shift is a little bigger than what we first thought.
Jennifer Davis - Lazard Capital Markets: Okay, great. Thanks.
Operator: Our next question is from Rick Patel from Merrill Lynch. Please go ahead.
Rick Patel - Bank of America Merrill Lynch: Good morning. Thanks for taking the question. Comps at Jared seem to decelerate more than comps at Kay during the quarter, and can you kind of just put that into context for us, is that business just a little bit more sensitive to Mother’s Day than Kay or do you see the higher income customers showing somewhat greater caution with the repurchases?
Michael Barnes: Yeah, sure. There are – as I said, there is lot of moving parts, some of them have to do with the various brand opportunities that we’ve right now. As you know, some of the brands are in Kay, some of the brands are in Jared, and some of them are in both. And right now, some of the successes that we’re seeing happen to be more of Kay type brands, we’ve seen Tolkowsky has been very strong as I just mentioned. Charmed Memories also did very well, and both of those are only available in Kay at this point. And then there is also another impact in Jared where – with the exit of Rolex, there is an impact on sales there as well.
Rick Patel - Bank of America Merrill Lynch: Got it. And then can you talk about performance of the bridal jewelry category versus last year? Is Neil Lane still continuing to hold up pretty well? And any new initiatives that are planned on that side of business given there is no major shopping catalyst into the holiday now?
Michael Barnes: Yeah, the bridal category continues to be very strong for us. It continues to be about the same amount of the mix out there. The Neil Lane Bridal has been a great program for us as you know; Tolkowsky, I mentioned, has done well and our bridal, in general, has done extremely well. So we feel very good about where we’re going with bridal, as you probably know that was a huge emphasis for us last year. We did a lot of development and training, which we consider to be a very core competitive strength for us with our associates and our managers on bridal, and we’re going to continue to do that because we see the effects that it had.
Rick Patel - Bank of America Merrill Lynch: All right. Great. And then just lastly, can you provide some color on how you expect product costs to trend versus the first quarter? Do you expect the percentage increase versus last year to increase, decrease or stay the same as we think about the second quarter and the back half?
Ronald Ristau: Well, I will talk to you about our annual statements that we made about gross margin. We said for the year we expect to maintain our gross margin rate while offsetting commodity costs that are roughly comparable to what it was in the previous year, we will still stick with that statement. There are some fluctuations by quarter because it's a little complex as I mentioned in the second quarter. There is a little bit of an impact because of the consolidation of the total Mother's Day program in the second quarter that wouldn’t be in some of your historical models. But there is nothing that’s really materially different other than the fact that we have the slight margin pressures in the U.K., which will continue in the second quarter. And as Mike pointed out in his comments, we would expect for the year right now that there will be some gross margin pressure in the U.K., which will continue through the year and may lead to lower than last year results.
Rick Patel - Bank of America Merrill Lynch: Given the diamond costs have sort of trended down since last summer, do you expect it to be a gross margin tailwind by the time we exit the year?
Ronald Ristau: I think we have to see how it develops over time. I would think that again which our model is a slow turn model that changes in prices unless long-term is sustained over long periods of time, tend have de minimis impact on any one fiscal current year. So changes in diamond cost that would occur more than likely would impact future periods as to – oppose to having a major impact this year. That said, it could have a small impact, but I wouldn't call it out as something that would be material in this year.
Rick Patel - Bank of America Merrill Lynch: All right. Great. Thanks, guys. Good luck.
Michael Barnes: Thank you. Operator We will now take a question from Ike Boruchow from JPMorgan. Please go ahead.
Ike Boruchow - JPMorgan: Hey, guys. Congrats on a good quarter.
Michael Barnes: Thank you.
Ike Boruchow - JPMorgan: Just couple of quick questions. I guess, first on the credit side of the business, Ron in this quarter can you just help us understand a little bit better, so this one-time kind of issue with the credit billing, it looks that it kind of hurt your consolidated gross margins by roughly 50 or 60 basis points? Is that correct? Are you kind of saying to take that 50 to 60 basis points and put it into Q4, so we should basically have roughly 50 bps of margin opportunity in Q4 just from the shift?
Ronald Ristau: Let me make sure, you’re clear on this. Number one, it did have an impact of $4.7 million in the first quarter on the gross margin number. When we get the benefit back, it will come not in gross margin, but it will come in other operating income in the fourth quarter, so the way this will work, it’s just there is a first time – there is a expense in the first quarter and a benefit in the fourth quarter that are on mismatched lines, right.
Ike Boruchow - JPMorgan: Okay.
Ronald Ristau: Okay. And then this adjustment is like it’s forever embedded in our model. It will never adjust again. So when you look into 2014 versus 2013, this effect will no longer – it will be nothing, it will just be like resetting the way close by quarter in both of those lines. But I would stick with the broad statement that the gross merchandise margin we expect to be broadly similar across the full-year, okay, implicit in that if we’re having some discussion in the U.K. with some margin pressures would mean that we’re implicitly assuming that margins in the U.S. would be a touch better, but the two will attempt to offset.
Ike Boruchow - JPMorgan: Okay, great. Also I guess there is a lot of noise, the Mother's Day shift and just to try to avoid more noise for the next quarter in Q3 you guys do lap that one-time the Rolex sale that went on, can you kind of just remind us again last year how much that helped your comps and when we start building our models for Q3, how should we be thinking about comps? I mean it would seem likely that the comp should decelerate from Q2, but the margins could also accelerate [axing] that shift out, could you just give us some color there?
Ronald Ristau: Yes. That’s a very good question and thank you for asking it because the timing shifts can be somewhat confusing. In the third quarter last year, just to remind everyone, we had about a – in the Jared business about an 8% gain in the comp in Jared in that quarter because of the fact that we’re liquidating some Rolex products as a result of this discontinuation of the line in the stores. That generated a benefit in the third quarter last year approximately $15 million, which we will be up against when we come through this year and that will be of course trying to offset that, but it is a headwind for us moving into the third quarter and the third quarter from a gift-giving perspective is always our most difficult quarter. There is not much activity going on in the market. Traditionally the third quarter margins are always lower than they’re in the second quarter and first quarter, and you can study that by looking at the historical trend. We would expect that historical trend on a relative sequential quarter basis in the third quarter to be probably somewhat similar to what it's been historically, okay. I think we will stay with the comment on the full-year that the margins will include. And there is a comment I noted from an analyst someone yesterday, I just want to make sure everyone is clear on. There is this 53rd week and when we gave our year-end or our annual statement about guidance in our year-end release, we’ve indicated that during the 53rd week, we believe that we would recognize incremental sales of between $48 million and $52 million and that the 53rd week would represent an operating loss of $2 million to $4 million because of the way that Valentine’s Day moves within 53rd week. So, we will incur some advertising costs in the 53rd week and sales shift into the first quarter of next year 2014. I’d point out that sales in that week will represent negative comps, so that the 53rd week it causes a suppression versus the 52-week comp when you think about how to build your model. It’s not a positive from a comp perspective that we have those additional sales flowing in. So, again the 53rd week would be $48 million to $52 million, a slightly negative comp during that week and a loss of $2 million to $4 million just to reiterate what we said in our previous annual guidance. So, I hope that’s helpful to you in thinking about the way the quarters flow.
Ike Boruchow – JPMorgan: Okay. It’s very helpful. Thanks, Ron. And then, I guess, one last one, I guess for Mike on higher level of view of the business. You came in to this year at around an all-time high margin, around 13.5%, excluding the credit shift in Q1, your operating margins were up almost 150 basis points, which is pretty phenomenal. How do you view operating margins down over the next year or three or five years as this business has clearly changed and structural changes that are kind of going on within the specialty jewelry market?
Michael Barnes: Sure and thanks for asking me that question instead of Ron because you knew I would probably give a different answer, right? But seriously, we’re very pleased with our operating margins and as you know growing profitable market share has been our long-term goal. We don’t have an exact target on that, but we don’t feel like we’ve hit a ceiling. We think that there is still is operating margin expansion available to us quite frankly over the long-term and we’re focused on continuing to grow our sales in our operating margins both over the long-term. So, it’s something that we believe is sustainable for us. We believe that with the productivity that we can gain from our stores and with the excellence and executions that our teams do out there, that we still have an opportunity to continue to gain operating margin. So, the short answer I guess would be, we don’t feel like we have hit a ceiling yet and that there are still opportunity in front of us.
Ronald Ristau: The only thing that I will add to Mike’s comment is that, we would expect as we’re indicating here that in the U.K. most likely as we look to this year, there will be a slight decline in operating margins. When we look forward into the future, we believe we’re positioning the business to start to reverse that trend as we look out into 2014 and ’15. So, we would not – we do not find that situation acceptable. And we will be working hard to with our U.K. team as we try to readjust the business to the realities of the economics in those markets.
Ike Boruchow – JPMorgan: Okay. Great. Good luck guys.
Michael Barnes: Thank you.
Operator: Our next question is from Jeff Stein from Northcoast Research. Please go ahead.
Jeff Stein - Northcoast Research: Good morning, Mike and Ron. Question for you just on the U.K., getting back to the U.K. business for a minute, I mean, philosophically, Signet has always kind of taken the position that they’re going to protect gross margin, merchandized margin first, on the basis that demand for jewelry is relatively pricing elastic. And I am wondering, is this a change in philosophy or does the U.K. customer perhaps, behave differently than the U.S. customer?
Ronald Ristau: It's not a change in philosophy. What it is a recognition of the reality of what is going on in the U.K. market and the challenges from a disposable income perspective that people are having in the U.K. to find the disposable income necessary. So what we have to do there is understand – we could do two things, we could just continue to increase prices in the U.K., which we don’t believe would work and we believe we would sacrifice market share because literally people are very challenged over trying to stay in concert with what's going on with our consumers. So the U.K. consumer is behaving little differently. This pressure has been going on for a while, it just seems to be accelerating a little bit this year due to the conditions that we find ourselves in. So, our decision is to go for market share in U.K. and not to just continually price because we do believe the consumer is challenged and we need to have product for that consumer that is appropriately priced for what the consumer needs and that’s what we believe is the right strategy in the U.K. and we’re going to follow it because the other – we believe it would be worse if we did the alternative.
Michael Barnes: Well, and just one other comment just to make sure we’re fully level set there, it is not a change in philosophy as Ron just said absolutely and by the way we do continue to price in the U.K. and increase prices in the U.K. as appropriate. So that hasn’t changed either, but as Ron mentioned earlier in the call, the consumer themselves, they’re self-selecting more of the promotional goods, and yes we do have the appropriate level of promotional goods out there for them to select from. So, we have our normalized price increases as we normally would execute them and we have our promotional goods and maybe a few more of them based upon the market as it sits today, but at the end of the day it’s the consumer that’s choosing the mix of what they buy, and they’re bargain hunting still in the U.K., and so that puts pressure out there. What we won’t do is we won’t raise our prices more than we should. We will raise them appropriately, but we won’t raise them more than we should to offset that promotional mindset of the consumer and therefore it is the pressure on gross merchandise margins a little bit, but we feel like it puts us in the right position in the right competitive place to best execute our business model and set ourselves up for the back half of the year and in the long-term.
Ronald Ristau: And as Mike indicated, we’re significantly outperforming from a comp perspective, the British Retail Consortium numbers, so we are very pleased with how we’re positioning ourselves in that market because we would not want to be having an alternative of significant comp drops.
Jeff Stein - Northcoast Research: Mike, in the U.S. how is the U.S. customer behaving with regard to making similar choices? In other words, what are they selecting right now in the stores? Are they going for the regular price merchandise or the promotional merchandise and is the mix changing very much year-on-year?
Michael Barnes: Well, I would say the U.S. consumer has a little bit of a different mindset and that they’re not overly choosing the promotional merchandise and not overly bargain hunting. In the U.S. really the consumer seems to be focused on newness, design, and innovation. If you give them a reason to buy something, they will buy it. They want something different and they're being very picky about what they chose, but if you have great brands and great designs such as we have, then they’re willing to step up and pay for it. In fact, some of the better selling merchandise that we’ve seen in the U.S. has not been anywhere near opening price point, much less promotional. Some of it has been very strong price point type merchandise and it’s because of the innovation in the fashion and the design.
Jeff Stein - Northcoast Research: Okay and final question, the regional brands. What happened there? I mean we’ve done some research in terms of calling independent jewelers and the vast majority of them indicated that they had a fairly good Mother’s Day, and I’m looking at your regional brands and you guys were down year-on-year. What accounted for the sharp decline? I know advertising is a big delta, but we’re still hearing that independents are doing pretty well. It sounds like your regionals are underperforming independents?
Ronald Ristau: No. I wouldn’t say that. During Mother’s Day, our regionals were – they had very good results up. Remember, Mother’s Day for us was included in our second quarter result and included in the numbers that what Mike was quoting for the U.S. division of 21% year-to-date in May, that includes the regional. So the regionals are in there and Mother’s Day was strong in the regionals, not as strong as it is in Kay and Jared because it never is, but they did have a good Mother’s Day.
Jeff Stein - Northcoast Research: Got it. Okay. Thank you very much.
Ronald Ristau: (Indiscernible) did not have a good Mother’s Day.
Jeff Stein - Northcoast Research: Thank you.
Operator: Thank you. We will now take our next question from Anthony Lebiedzinski from Sidoti. Please go ahead.
Anthony Lebiedzinski - Sidoti & Co.: Yes, good morning. First question is on the U.K., could you tell us what the same-store sales are quarter-to-date? So far you gave us the U.S. number and also Mike you had mentioned in your opening remarks that you’re going to be testing some new products in U.K., so I was wondering, if you could give us some color on that?
Michael Barnes: Well, on the new products, I will talk to that. We are testing some new things. We are not really in a position yet to talk about what they’re, but we’ve just like in the U.S., we have a number of merchandise initiatives underway in the U.K. and a lot of those positive comp store sales are being driven by new merchandise, but again until we roll that out we don’t want to speak more specifically about which ones they’re. Some of them I could talk too, because they’re the same as the U.S. and they’ve been underway for a while. I had mentioned Tolkowsky a couple of times. It’s been a successful program not only in the U.S., we also have leveraged the fashion business of Le Vian for instance, into the U.K. and that’s an opportunity for further growth for us there. So, there is a lot of exciting things happening on the merchandising side in the U.K. In terms of comps, Ron?
Ronald Ristau: It’s U.K. business, so we didn’t disclose because there is no Mother's Day impact on the U.K., but the comps in the first quarter were in that one – a little better than 1% range and we’re seeing like more or less a continuation of that trend in the May timeframes.
Anthony Lebiedzinski - Sidoti & Co.: Okay. Thanks for that. And also on your last conference call in March, you talked about investing in your supply chain, you gave a number of $5 million to $7 million for the year. Was there any impact from that in the first quarter and also – and if so could you quantify that and also can you talk about like what you expect to gain from that initiative?
Ronald Ristau: Number one, there was no significant impact in the first quarter. That activity will be more towards the third and fourth quarters of the year and it’s included in our statements about gross margin and how we think it will be covered. So, it’s in our numbers and will be largely offset as we go through the year. What we expect to gain, it’s a variety of things, and I will let Mike speak to that, but strengthening the supply chain is important to us.
Michael Barnes: Yeah, as we talked about, our supply chain is so important to us and we’re working very diligently to improve the relationships, build partnerships, both improve existing ones and build new partnerships in ways that are going to benefit us for many years to come, it’s something that we’re working internationally on this. We’ve got – we’ve always had a strong supply chain and we keep a lot of boots on the ground in a lot of the places where the business is being done. Be it places such as Antwerp or in India in Mumbai, but we think by having a stronger presence in some of these areas that it will benefit us and as we do – as Ron said, there was no significant impact in the first quarter, but as we do continue to invest in our supply chain and we do see where that investment is going then we will further quantify that for you in the future.
Anthony Lebiedzinski - Sidoti & Co.: Okay. Thank you.
Operator: Our next question is from Jessica Schoen from Barclays. Please go ahead.
Jessica Schoen - Barclays Capital: Good morning, everyone.
Michael Barnes: Good morning.
Ronald Ristau: Good morning.
Jessica Schoen - Barclays Capital: I had a question about the traffic trends in the U.S., I was wondering if you could give a little color maybe about how they differed between your on-mall locations and your off-mall. I understand that the shift in Mother’s Day may cause a little bit of noise, but just generally how they compared during the more comparable parts of the quarter?
Ronald Ristau: I guess you could definitely answer that question by looking at what happened to results. Our online sales were up 27% in the first quarter, which we thought was very strong. We continued with that initiative. We continue to see increases in traffic and all traffic measurements and site visitors, time on site, conversion and so on are all very favorable. In the stores the traffic trends tended to follow what happened with comps, so the traffic trends in the first quarter were very strong during Valentine’s Day, a little bit softer in March and April and very, very strong on Mother’s Day.
Jessica Schoen - Barclays Capital: Okay. And then as far as the progress on the capital investment that you’re planning to make for the year, could you remind us of anything you said about the cadence of that capital investment as well as when you expect to see that potential benefit?
Ronald Ristau: Well, the cadence of it, our capital spending always tend to get a little more skewed towards the second half of the year than the first half of the year just because of the way we bring projects online, and – but not significant change, we’re still expecting to spend between $145 million to $165 million in that regard. And just as a side note, we probably still expect to be well over $200 million in free cash flow for the year. So you’re asking how much we’re going to spend by quarter, I don’t think we ever disclosed that. But I would say look to our pattern of past years and how capital spending for the year has broken out by quarter and it probably will follow a similar trend to prior years.
Jessica Schoen - Barclays Capital: Okay. Thanks very much for taking my questions.
Ronald Ristau: That’s (indiscernible). You’re welcome.
Operator: We have now a question from Susan Sansbury from Miller Tabak. Please go ahead.
Susan Sansbury - Miller Tabak + Co., LLC: Hi. Good morning. Thanks. Going back to the U.K., would you be willing to share, what your plan is with respect to the level of losses for the year, you have been very specific. We know what the first quarter was. Will you be even very specific about the second quarter?
Ronald Ristau: I’m sorry, let me be clear. We do not expect – I am sorry for being – for not being clear about this. We expect to be lower than last year in the U.K. most likely based on what’s happened, but we do not expect losses in the U.K. The U.K. is always orientated towards being a fourth quarter business with holiday being a key driver of profitability. So, we made very good money, our operating profit rate was about 7.8% last year in the U.K. and we will make money in the U.K. We might not make at the same rate that we did last year because of some of these headwinds we’re facing, but we will be profitable and the U.K. will be a good strong profit contributor and cash contributor to our overall corporation. So don’t want to mislead you in any regard there. And as for the future, there are some actions that we wouldn’t choose to get into in a lot of detail because of the complexity of execution in the U.K. market.
Michael Barnes: I will just add to Ron’s comment on that. We were very pleased with last year’s overall result, making 7.8% operating income, which was a number in the U.K. that a lot of companies would have signed up for immediately. We are just – we are toughest on ourselves and we expect to do better than we’re doing currently, but it’s still going to be very profitable and a cash flowing business for us and we’re very pleased with the direction that we’re moving in and the investments that we’re making, because we think that that what we're doing is we’re really securing the business for long-term market share gains and we’re still very excited about it. And a lot of the new stores that we’ve opened up there in some of these big, powerful regional centers have performed, they continue to perform extremely well. So, there is still a lot of huge opportunity in the U.K. and it will be a very profitable business for us this year. We are just up against a bit of a headwind right now.
Ronald Ristau: The U.K. is all about Christmas. Christmas, Christmas, Christmas, okay, and as Mike said in his comments, we’re focusing on testing new merchandise, staff training and planning for Christmas, which is why we’re encouraged to see the positive comps developing in the U.K. because we want to make sure that we have the merchandise mix that people want when we move into the Christmas season because that’s where we earn virtually a 100% of our profit in the fourth quarter. So, the better job we can do of getting said, getting the merchandise tested, ironing out all those issues as we move through the second and third – first, second and third quarter, the stronger Christmas potentially that we can have and that’s what the ballgame is in the U.K.
Susan Sansbury - Miller Tabak + Co., LLC: I apologize for my I guess inappropriate choice of words, but …
Ronald Ristau: No, I just want to make sure I was unclear because we don’t want to – we are running a little bit lower losses in first and second quarter or more greater losses, but we do not expect and I want to make sure on the calls clear, we do not expect losses in the U.K. division for the full-year, this year.
Susan Sansbury - Miller Tabak + Co., LLC: Okay. But you – there is a Plan B in the event that all hell breaks loose, we cannot control – what you can control, everybody is – I think everybody is comfortable with, but is there a Plan B?
Michael Barnes: Absolutely. You know we realize that anything can happen at any time and things can suddenly break loose and that’s why we focus intently on the details of the business and how we manage our expenses and how we manage our investments. We are always prepared to react to whatever the macro environment throws at us and we think that we can do it quickly, we think that we can do it as effectively as possible depending on exactly what that might be. If a black swan were to hit and things were to change dramatically, we would absolutely react. And even in today's very tough economic environment in the U.K., we are looking very closely at how we manage our business and we will always continue to appropriately invest in the future and invest in new merchandise and invest in our stores and our people and training, but we’re watching the expenses very carefully, we're looking at ways that we can address what the environment is that we’re operating in today and we have a long-term plan for a lot of success in the U.K. and to see some of the short-term maybe lower operating profits that we discuss coming back up again.
Susan Sansbury - Miller Tabak + Co., LLC: Okay.
Ronald Ristau: And we also – I guess we’re voting like the debate in Europe. We vote for growth with expense control in the U.K. because we can’t save ourselves to prosperity in the U.K. business.
Susan Sansbury - Miller Tabak + Co., LLC: Okay. Two other quickie questions. Ron, you know I am new to the story and I don’t know if the next questions you can answer or will share …
Ronald Ristau: Sure, I will try.
Susan Sansbury - Miller Tabak + Co., LLC: … on the call, but inventory plan for the end of the second quarter and the year?
Ronald Ristau: Well, we expect our inventories – we’re in the inventory is very interesting because we do face the issue of commodity inflation. So, with the same or even lower unit inventory, our inventories will go up just because gold and diamond prices on average will be going up. So we're up at about 9% in the end of the first quarter about $20 million of the increase is just because the build from Mother’s Day is in the inventory. If you will, and that didn’t take – didn’t come down until the Mother’s Day sales occurred in the second quarter. But I would expect our inventories will be up in that 7% to 9% range as we go across the year, driven by this commodity inflation. I would point out that embedded in that number where you cannot see is that we continue to improve our underlying turn to try to offset some of the commodity inflation that we have to deal with. So operationally we continue to get better and better in inventory. Our inventories have never been cleaner and more current. We actually from an operating perspective, one of the issues we have is that we don’t have any clearance inventory in order to drive some sales in the stores, but that’s a high class problem and we will take it every time.
Susan Sansbury - Miller Tabak + Co., LLC: Okay. There was some mention in the 10-Q about some specific initiatives with respect to inventory. There was a reference I guess you’re protecting – anyway never mind, I will ask you later. In terms of share repurchase your stock off – opened up down 10, now it’s down seven you bought in at $46. Any comment about your attitude or position with respect to this authorization currently?
Michael Barnes: Well, we – as we said, we executed a lot of the stock buyback approximately a third of it during the first quarter. They had a two year authorization on it. So, we think that we appropriately and effectively went to the marketplace and executed the buyback. The program is still ongoing as you know and we will continue to appropriately execute it as we see it fit going forward, but we don’t really get into any details of what that plan of buying is or how or exactly when because we think it would be inappropriate.
Susan Sansbury - Miller Tabak + Co., LLC: Okay. No problem. I appreciate it. Thanks ever so much. Good luck. You’re doing a great job.
Michael Barnes: Thank you.
Ronald Ristau: Thank you very much.
Operator: Our next question is from Rod Whitehead from Deutsche Bank. Please go ahead.
Rodney Whitehead - Deutsche Bank: Hi, there. It’s quite clear that you’ve somewhat underperformed sales in Q1, but you’ve significantly outperformed them in Q2 at least over the key Mother’s Day period. Do you feel that because you shift the advertising and annual business has had a bigger focus on the main event Mother’s Day and perhaps less in the lower period and overall, are you kind of happy with that the way that’s come out? And the second question, just on exclusive products of those. What kind of growth rate have they seen in Q1? And you said there is a number of initiatives that you weren’t going to mention, and then you mentioned a few things that are being further rolled out. Where those the ones you aren’t going to mention or are there other ones that you haven’t mentioned?
Michael Barnes: Let me – I will clarify that for you, Rod. To start up with your opening comment, I’m going to assume that you’re talking about sales when you say that we underperformed anybody out there on the competitive marketplace. But the reality is – yeah, the reality is that, we knew that we were going to have low single-digit comps in the first quarter, that's why we were so clear about that. We wanted to make sure everybody understood that. Every company has different cadence to the programs that they run, the promotions that they run, how they do it, when they time it, which weeks they do certain things, et cetera. We know what ours is, and so we knew where we were going to come in during the quarter and that’s where we came in, and we managed everything appropriately because we wanted to make sure that the comps that we did have were extremely profitable and well-managed. And when you said record earnings for Q1, we think that we did a very good job of doing that and then as you saw very strong going into Mother’s Day with the month-to-date sales extremely strong 21% or 9% minus the shift and it – I have to say it worked out pretty much as we expected it to and as we laid it out. So, we feel very good about where our business is at right now, and our ability to execute the remainder of the year the way that we have planned it. So in this environment, we feel extremely good that we can meet all of our objectives for this year. So, I'm very happy about that, number one. Number two, on the merchandising items, yes I mean, this is what’s exciting, is that I mentioned that we’re going to finish the rollout of Tolkowsky Ideal Cut solitaires into Kay, which is great, and I mentioned that we have some exciting new innovative things going on with Jane Seymour with the family collection and then we’re going to be rolling into another 250 doors with that. So those are fairly new things out there, the family collection being extremely new and there are very exciting opportunities for us for the back of the year and beyond. But to your point, I did talk about a lot of things here, and I'm sorry if I confused anyone with it. We have a lot more tests going on and there is a couple of those that I will not mention by name, aside from the ones that I did, that we are rolling into several hundred doors by the end of the second quarter. We will be in several hundred doors with each of those, but until I get that rollout out there, I would like to keep what’s working for us a little bit competitively to ourselves and then even beyond those that we’re already extending the rollout on there is some even newer tests going on that we haven’t made any decisions on yet, but they’re testing well. It’s a short period of time and its early days. And as I said stay tuned and we will talk more about that, but the merchandising initiatives are very exciting. We think we are well prepared for the back half of the year. The first quarter came out about as we expected based on our own individual promotions and how we run them and how we time them. We came into Mother’s Day very strongly and have done well month-to-date and we think we are well prepared.
Rodney Whitehead - Deutsche Bank: Right.
Ronald Ristau: In the way our testing calendar run, just to follow-up on Rod is that, our testing usually continues Valentine’s Day first, second quarters and we tend to roll much more product into the third and fourth quarters of the year. So that’s just is the way our normal cadence run. So, we look forward to a good second half.
Rodney Whitehead - Deutsche Bank: Thank you very much.
Michael Barnes: Thank you, Rod.
Operator: Our last question is coming from James Pan from CP&E Partners. Please go ahead.
James Pan - CP&E Partners: Hi, gentlemen. A question about the U.K., you said that basically the – correct me if I’m wrong, that the issues are cynical there because of the, I guess the recessionary environment in the U.K. Can you give more background on what’s happening to the square footage of the industry? In other words, what we benefit from this pain in the U.K., on the other end, if and when the U.K. economy improves just like we did in the U.S. four years ago?
Ronald Ristau: Let me try to address and make sure I understood your question. So, first I’m going to ask is what’s going on – I thought you’re asking is a little bit about what’s going on with stores in the U.K.?
James Pan - CP&E Partners: Yes. basically I’m asking …
Ronald Ristau: What's happening in the U.K. from an overall perspective is that sales continue to shift into the powerful regional, mall, centers and away from high street locations with the exception of London. So when we look out into the U.K., what we see is that, number one, we’re closing and we expect to close this year around 26 stores in H. Samuel and Ernest Jones combined, okay in the U.K. So, we will be experiencing some slight space decline in the market of about 3% in the U.K. market, okay, as opposed to about 3% growth in the U.S. market. And we would – that’s a trend that we continue to be working with our U.K. business because there are stores and as the customer patterns of shopping are shifting around, some of the real estate is becoming less desirable and some of the real estate is becoming more desirable. So, we’re following those trends from a consumer perspective in the U.K. and that’s a little bit different than the U.S. because obviously the boom into regional shopping malls in the U.S. happened many, many years ago. So, that trend is continuing. We also continue in the U.K. to negotiate very productively with our landlords in some of these spaces to make sure that the rents that we’re paying reflect the economic values of the property as that continues to shift or we’re exiting properties. So, that program will continue over a number of years in the U.K. Does that answer your first part of that question?
James Pan - CP&E Partners: What I’m really getting into is market share. Do you expect that after – when and if the U.K. economy normalize, do you expect it to have materially more market share or about the same or less market share than we do in the U.K. at this point?
Ronald Ristau: More market share because what we see is that we’re not the only people closing stores in the U.K., the whole market is, the retail space is constricted, okay. But what’s happening is as the space constricts is that the powerful stores are picking up the volume if you understand what I’m saying, okay. So that market share – from the measurements of market share that we see, we would expect our market share to increase over time.
James Pan - CP&E Partners: Okay. Thank you.
Operator: Thank you. I will now turn the call over back to Mr. Mike Barnes for any closing or additional remarks.
Michael Barnes: Okay. Thank you, operator. I’d like to thank all of you for taking part in the call. Our next scheduled call is on August 23rd, when we will review our second quarter results. So, thank you again and have a great day.
Ronald Ristau: Thank you.
Operator: Thank you. That will now conclude today’s conference call. Thank you for your participation ladies and gentlemen. You may now disconnect.